Operator: Good morning. My name is Holly and I will be your conference operator today. At this time, I would like to welcome everyone to the WEX Inc Fourth Quarter 2015 Earnings Conference Call. I'd now like to turn the call over to Micky Thomas, Vice President of Investor Relations and Treasurer. Mr. Thomas, please go ahead. 
Micky Thomas: Thank you, Holly. And good morning, everybody. With me today is Melissa Smith, our President and CEO; and our CFO, Steve Elder. The press release we issued earlier this morning has posted in the Investor Relations section of our website at wexinc.com. A copy of the release has also been included in an 8-K that we submitted to the SEC. As a reminder, we will be discussing a non-GAAP metric, with specifically adjusted net income during our call. Adjusted net income for this year's fourth quarter exclude changes and unrealized fuel price derivatives, net foreign currency re-measurement losses, amortization of acquired intangible assets, expenses related to stock-based compensation, restructuring expenses, certain acquisition-related expenses, non-cash adjustments related to our tax receivable agreement, adjustments related to our regulatory reserve, adjustments attributable to non-controlling interests, and the tax impact of these items. Please see Exhibit 1 included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. For consistency, we have revised adjusted net income for the fourth quarter 2014 to exclude the impact of re-measurement non-operating FX gains and losses to conform to the approach that was adopted earlier last year. I'd like to call your attention to our reporting change that you may noticed in our press release this morning. We will now be reporting through three business segment. Fleet Payment Solutions which remains on the same basis that we've been reporting. Travel and Corporate Solutions which includes our travel business and other verticals. And Health and Employee Benefit Solutions which includes our healthcare and employee related business. This change enhances transparency and better aligns our reporting to the way we think about our business as we move forward. Finally, I would also like to remind you that we will be discussing forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors, including those discussed in our press release and the risk factors identified in our annual report on Form 10-K filed with the SEC on February 26, 2015. While we may update forward-looking statements in the future, we disclaim any obligations to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today. With that, I'll turn the call over to Melissa Smith.
Melissa Smith : Good morning, everyone. And thank you for joining us today. I'm pleased to report solid performance for the fourth quarter and results that exceeded our guidance range for both the top and bottom line. Our results came from solid execution against our strategic priorities which are focused on accelerating growth, driving scale and advancing our target investments over the course of 2015. For the quarter, we achieved revenue of $213 million and adjusted net income of $1.15 per share, both relatively flat over the prior year period due to lower fuel prices. Our results included a one-time tax benefit relating to a federal tax law modification. Even if you exclude that item, our ANI was comfortably at the top end of our guidance range despite the fairly pronounced drop in fuel prices. Net income was negatively impacted by fuel prices and our fleet business in US and Australia which was largely offset by favorable fuel price spreads from WEX Europe Services. As a reminder, revenue from WEX Europe Services is based on spread which helped provide a natural hedge in the fourth quarter when fuel prices adjust rapidly as they did in the fourth quarter, there can be a temporary offset to the impact of domestic fuel price movement. It's important to note that in the future we would not expect changes in fuel prices and spreads to be as closely aligned as they were in the fourth quarter. For the full year 2015, revenue increased 5% to $855 million and adjusted net income decreased 7% $4.87 per share. We are particularly pleased to have achieve this performance in light of continued pressure from depressed fuel prices and volatile foreign exchange rate. Assuming constant currency, fuel prices, fuel spreads and impacts from the hedge, our revenue would have grown approximately 22% and earnings would have increased approximately 17% over 2014. Recall that in 2014 our adjusted net income included just $0.30 positive benefit for prior year tax adjustment. WEX Europe Services performed better than planned both in terms of volume and pricing offsetting softness in the US fleet business from same store sales. We also continue to modernize our overall fee structure to adjust for market changes over the last several years. This is gone very well with minimal impact to our customer base. Ultimately we exit the year with solid fundamentals and underlying growth engine that continues to win new business and portfolio of high performing products that are both diverse and global. Our targeted investments Evolution 1 and WEX Europe Services continued to perform above expectations and are on a very nice trajectory as we start 2016. We look forward to building on this success with our recently announced acquisition of Benaissance and Electronic Fund Source or EFS. Benaissance which closed this past quarter furthers our reach in healthcare payment building on billing capabilities that enable us to better service this increasingly complex market. We also remain excited about the prospects for EFS which will be our largest acquisition to date. EFS will round out our product set in the North American fleet market extending our reach into the mid and large OTR markets and significantly enhancing the scale of the enterprise. We continue to anticipate the close of the EFS acquisition which is making its way through the HSR review process. As expected the regulators have come back to us with a second request. We're working diligently to provide the appropriate information to them as quickly as possible. Based on all of these strategic initiatives we believe the combination of our organic growth coupled with our strategic investments including recently announced acquisitions position us well in the market place. Now moving to segment performance. In Fleet, we saw payment process and transactions increased by 7% during the quarter. Year-over-year we saw 10% rise during 2015 due in part to a full year of WEX Europe Services assuming constant currency, fuel prices and fuel spreads, overall revenue growth in the segment would have been 19% for the full year. In domestic fleet, same store sales declined 3.7% reflecting similar trends in previous quarters, oil and gas related industries posted the largest decline. Payment processing gallons increased 2.6% in the US year-over-year and fuel prices were down on average 28%. We executed well in areas that we have control including maintaining low attrition rate and achieving a number of encouraging customer wins this quarter including Sunoco Logistics, the OTR arm of Sunoco. We also signed a consolidated agreement with Element to provide co-branded card services, extending our longstanding relations with GE and PHH. We are also seeing good momentum in the underlying business as we continue to have success in the market place and grow our customer base. We also continue to diligently evaluate our cost structure as well as implement our ongoing strategic review of pricing in a highly competitive payments market place. We adjusted our late fees mid year and continue to see the benefit of this program. We plan to continue to make adjustments where we see gaps within the market and remain competitive. At the same time, we’ve had early success with our new product offerings with contract signings for ClearView Analytics and our FlexCard offering. Our international fleet business again demonstrated strong performance driven by WEX Europe Services. In particular I'm pleased with their ability to stabilize and grow the business which has driven higher volumes across the network. Due to the favorable spreads and cost control, our European fleet business performed better than our expectations in 2015 driven in particular by the fourth quarter. We are leveraging the presence that we've established across Europe to scale our business processes and optimize our asset in this important region. Our team continues to work diligently on building out the WEX platform in Europe which is progressing well. We successfully tested production transactions in a recently launched pilot and will load a small customer set very soon. The country by country conversions are planned to continue throughout 2016. We are also pleased with the performance of our international fleet business outside of Europe. We acquired the remaining 49% stake of UNIK this year which enables us to further leverage the business’ deep expertise in fleet over-the-road business solution and employee benefit products. The fleet business in Brazil saw increases in payment processing transaction of 11% for the full year and revenue growth in local currency of 36%. Australia saw increases in payment processing transaction of 8% in 2015. In Asia, we’ve now completed the successful rollout of our international fleet platform in Singapore, Guam and Saipan. Overall, we feel very good about the potential of our fleet business both domestically and abroad and encouraged by the growth that we are seeing across our core markets. Our fleet products are now being used in 17 countries and territories, up from five countries two years ago. Overall, we feel very good about the long-term opportunities in the segment. Shifting gears to our Travel and Corporate Solutions segment, I'm pleased by the momentum we are seeing in this business. Overall, this segment generates 7% growth in total revenue globally over last year increasing to $195.4 million. Recall that approximately 40% of our travel business volume is outside of the United States. On a constant currency basis, revenue growth for the segment was 15%. This was driven by higher corporate charge card purchase volume which grew by approximately $2.4 billion or 14% in 2015. These increases were partially offset by a decrease in the virtual card net interchange rate of five basis points due primarily to customer renegotiations, declines in the customer specific incentives we've received and FX rate. In Australia, we are progressing well ramping the Flight Centre deal. We signed an agreement with Hotel Booking Solutions known as HBSI and expanded our capacity to settle in two additional currencies during the year now totaling 21. Asia also demonstrated notable progress this quarter. The wins we've seen this year service an evidence of our ability to address the unique needs of the global travel market where we see the potential for significant long-term growth. We are working on further globalizing our virtual card product and pursuing value added enhancement to our core service offerings to meet customer needs in this region. We continue to see great traction in that region, recently signing our seventh customer in the last four months across China, Thailand and Indonesia. Our Health and Employee Benefit Solutions segment also saw solid momentum throughout the year. On a constant currency basis, revenue in this segment increased 75% over 2014, which included the benefit of the full year of Evolution 1 and Benaissance acquisition. This is partially offset by the rapid! PayCard divesture. Evolution 1 signed a new business agreement wit Peoples Bank and Trust Mark company. Evolution 1 continues to pose strong increases in the number of consumers on its platform and the number of these consumers adopting mobile account. We are excited to close the acquisition of Benaissance in the fourth quarter as this business will enable us to provide more comprehensive and diversified offering while widening our network of partners. The integration of Benaissance is well underway and meeting expectations. Overall, I'm pleased with the progress we made this year and position WEX for the future as it took significant steps to strengthen our business and enhance our position across our core vertical. We generated solid organic growth in spite of continued pressure from macroeconomic headwind. Demonstrated disciplined cost control across our business and made notable progress with our targeted investment strategy. We remained focus on our strategic priorities for 2016, positioning WEX for growth, enhancing our value added product and service offerings and driving scale across the entire organization while continue to keep a keen eye on cost management. We are excited about the expansion of our global assets and talent base and we will continue to work diligently to ensure we are maximizing the efficiency and value of our network. Let me turn now to our guidance. Looking ahead we believe our prospects for 2016 are favorable and anticipate strong organic growth across our business. Further, we also anticipate that the macroeconomic headwinds that affected us in 2015, we will continue to have an impact our results this year. This guidance excludes the impact of the planned EFS acquisition. For the full year 2016, we expect revenue in the range of $860 million to $890 million. And adjusted net income in the range of $148 million to $160 million, a $3.80 to $4.10 per diluted share. For the first quarter we expect to report revenue in the range of $190 million to $200 million and adjusted net income in the range of $31 million to $34 million, or $0.80 to $0.88 per diluted share. Please note that this estimate reflect our views as of today and are made on a non-GAAP basis. I'd like to mention a few important call-outs that provide more contexts for their expectations in 2016. First, as I mentioned we anticipate organic growth across our business. For the full year 2016, we are assuming a fuel price of $1.97. If we assume a domestic fuel price of $2.55 which was the average for 2015, we would expect approximately a 10% increase in revenue year-over-year based on a mid point of guidance. As we've said previously, we've suspended purchasing under the fuel derivative program as we believe the risk reward trade off is now balanced at this time. We are targeted to be 20% hedged during the first quarter of 2016 but we are not hedged thereafter. As our volumes increased and our revenue earned from financing fees also increases, our exposure to changes and retail fuel price also increase in dollar term. As a result, with each $0.10 move in fuel prices result in approximately 16% change in our adjusted net income from our US fleet business on a full year. This explains the bulk of the pressure on our adjusted net income for 2016. Assuming constant currency, fuel prices, fuel spreads and no impact from our hedge from 2015 to 2016, the midpoint of our guidance range for adjusted net income would increase approximately 20%. Our strategy has and will continue to include actions that diversify our business and reduce fuel price sensitivity. As we've said previously, we regularly evaluate the potential benefit of hedging fuel price sensitive earnings and may commence purchasing of hedges at a later day. Further, our acquisition strategy along with organic growth outside of the domestic fleet business is working to diversify our overall portfolio, shifting a greater portion of our revenue towards businesses without fuel price exposure. In addition, we are assuming a modest increase in fleet credit loss to be between 10 to 15 basis points. We assume WEX Europe Services will be breakeven on an operating basis for the year driven largely by our strategic pricing initiative while we further optimize the portfolio. We will continue making the investment necessary to scale and grow this business as we build our presence in this important region. Now I'd like to turn the call over to Steve to discuss our financials in greater detail. Steve? 
Steve Elder : Thank you, Melissa. For the fourth quarter of 2015, we reported total revenue of $213 million, relatively flat with the prior year period an above the high end of our guidance range of $198 million to $207 million. Net earnings attributable to common shareholders on a GAAP basis for the fourth quarter were $20.9 million, or $0.54 per diluted share, compared with $47.9 million, or $1.23 per diluted share, for the fourth quarter last year. Our non-GAAP adjusted net income came in at $44.7 million, or $1.15 per diluted share, up from $44.3 million or $1.14 per diluted share for the same period last year. For the full year 2015 revenue increased 5% to $854.6 million from $817.6 million in 2014. On GAAP basis, net earnings attributable to common shareholders in 2015 were $2.62 per diluted share compared to $5.18 per diluted share in 2014. On an adjusted basis net income decreased 7% to $4.87 per diluted share from $5.25 per diluted share in 2014. As Melissa mentioned our results this quarter were impacted by ongoing softness in fuel pricing. Although we partially hedged against domestic fuel price fluctuations on an earnings basis throughout 2015, our revenue was still affected by the ongoing fuel price decline. As a result, even with our solid transaction growth, our fee payment processing revenue declined coming in at $73 million this quarter compared to $83.3 million in the fourth quarter of 2014. For the quarter, consolidated payment processing transaction increased to $84.8 million, 7% higher than 2014. The increase in transactions was primarily attributed to WEX Europe Services as well as organic growth in the business. The net interchange rate in the fleet segment this quarter is up eight basis point sequentially over Q3 and nine basis points over Q4 of last year. The increase was due to favorable spread at WEX Europe Services as well as the decline in domestic fuel price. We continued to be very pleased with the performance of WEX Europe Services. We know there are still work remaining to transfer the portfolio to our system and operate it more efficiently and we've made tremendous progress to date. Finance fee revenue in the fleet segment increased $1.9 million compared to Q4 of last year despite the significant drop in fuel prices. This increase was driven by the impact from late fee changes made in 2015. Revenue in our Travel and Corporate Solutions segment for the fourth quarter increased 6% or $2.5 million year-over-year to $47.7 million primarily as a result of continued strong growth in our purchase volume. These volumes increased to 13% over last year to $4.6 billion for the quarter driven by solid growth in our OTA customers. The inner change rate in Q4 was 80 basis points which are up four basis points sequentially due to the impacts of seasonality on our customer mix and changes in customer specific incentives we received. For Health and Employee Benefit Solutions total revenue in the fourth quarter increased 1% year-over-year to $30.7 million? Growth from the health business was very strong and included the Benaissance acquisition, but was offset by the divesture of the Rapid! PayCard business and foreign exchange impact primarily from our business in Brazil. Moving down the income statement for the quarter, total operating expenses on GAAP basis were $163 million, a $13 million increase versus the same period last year. Salary and other personnel costs for Q4 were approximately $60 million compared with roughly $58 million of Q4 last year. The increase is primarily due to an increase in headcount related to the acquisition of WEX Europe Services, partially offset by lower stock compensation expense. Additionally, service fees were up $6.2 million from the prior year at $37.9 million. The increase is due to expenses from WEX Europe Services operation which began in December 2014 as well as volume related increases in our travel business. During the fourth quarter, credit loss on a consolidated basis totaled $8.3 million. This compares to $9 million in Q4 of last year. Fleet credit loss was 15.7 basis points in Q4 compared to 13.7 basis points in Q4, 2014. In the fourth quarter of 2015, we saw an increase in delinquency rates which led us to increase our required reserve. The increase in delinquency trend was broad based. We did not see any particular customer or industry as the cause. Although the loss rate is higher than last year, it still reflects a strong portfolio and the loss rate remains within historical norms. Our operating interest expense was $1.2 million during the quarter as we continued to benefit from low interest rates in the U.S. This compares to $1.7 million during the same period last year. The effective tax rate on a GAAP basis for Q4 was 38.9% compared to 40.4% in the fourth quarter of 2014. Our adjusted net income tax rate this quarter was 32%, compared to 37.5% for Q4 a year ago. As Melissa discussed, this quarter was favorably impacted by a Federal Tax Regulatory change. For 2016, we expect the tax rate to be between 36% and 37%. Turning to our fuel derivatives program. For the fourth quarter of 2015, we recognized a realized cash gain of $9.6 million before taxes on these instruments and an unrealized loss of $8.4 million. We concluded the quarter with a net derivative asset of $5 million. In the first quarter of 2016, we are approximately 20% hedged and we are not currently hedged beyond the first quarter. Moving over to the balance sheet, we ended the quarter with $280 million of cash, down from $534 million at the end of the third quarter of 2015. The decrease in cash was driven by the seasonality of certain deposits at our bank. In terms of capital expenditures, CapEx for the fourth quarter was approximately $16 million. Our total CapEx for the full year was $63 million. We ended the year with a total balance of $1.1 billion on our revolving line of credit, term loan and notes, which is down $232 million from the beginning of the year. As of December 31, our leverage ratio was 2.8x our 12 months trailing EBITDA compared to 3.6x at the end of Q4 last year. In anticipation of our pending acquisition of EFS, we expect to continue to use our cash to reduce debt balances until the deal closes. And I'll turn it back to Melissa.
Melissa Smith : Thank you, Steve. Our financial performance in 2015 reflects our commitment to expanding our business through both organic growth and strategic acquisition. We continue to make the investments needed to expand into high growth verticals while strengthening our presence in core market despite the FX and fuel price headwinds, we are confident that we can sustain our momentum into 2016 as we increasingly benefit from strong volume growth, contributions from recently announced transactions, as well as higher contribution from our expanding partnership network across the globe. And now we will take your questions. 
Operator: [Operator Instructions] And your first question will come from Bob Napoli with William Blair.
Bob Napoli: Thank you. Good morning. Confusing times I guess. The fourth quarter - your revenue look fine, your earnings look fine, your guidance for revenue looks fine, right in line with what we expected but your earnings guidance is below knowing it's a very confusing time it seemed to us and now you are saying the Europe is doing better than expected I thought maybe you had a continued loss in Europe but the expenses seem higher. I know you put in there Melissa and Steve that you - constant everything it is 20% earnings growth. But am I missing something on the expense side or there are additional investments you are making while Europe continue to lose money versus I think you said it's going to breakeven this year. So what are we missing on the expense side? 
Melissa Smith : Yes. I would say that just to kind of reiterate some of the points I made when I gave out the guidance assumptions. We do presume that WEX Europe Services will be operating breakeven. There is a pretty sizable impact between the loss of the hedge from year-to-year and from fuel prices so that decline in fuel prices both in the US and then outside of the US which are typically more stable but you are seeing such a large drop in fuel prices that it has a little bit of impact also outside the United States. And so I said before $0.10 change in fuel prices has about a 16% change in earnings – sorry, $0.16 change in our EPS. And so I think that's probably the biggest driver and so the change in fuel prices is having a pretty pronounced impact from a drop through perspective. It's a about $1.65 when you compile the fuel price spreads, the loss of the hedge and then fuel price changes is about $1.65 impact from year-to-year, so that's really a pretty dramatic change. So underneath that you are seeing really strong both organic growth and really strong performance through the acquisitions we've had. There is a little bit of loss of pick up I guess if you will between 2015 and 2016 because WEX Europe Services outperformed during 2015 that had a little bit of impact too but we’re still presuming it's going to be operating income breakeven. 
Bob Napoli: Okay. One last question, I am sure there are a lot of questions. But the $0.10 to $0.16 I mean historically that was $0.10 was $0.11 we can go over that offline but maybe you can tell me what you are looking for organic growth? And one of the areas that stood out this quarter beside organic growth for 2016, the healthcare business and there are lot of puts and takes. What is Evolution 1 growing at and what do you expect to grow at in 2016? So an organic growth overall and then I would like to know what Evolution 1 is growing at without acquisition? 
Melissa Smith : Organic growth overall we said if you strip out the impact of PPG and fuel price if you look from 2015 to 2016 midpoint guidance that we are seeing about 10% growth at the midpoint so we’ve said all along that we think we are going to grow the business organically at about that 10% growth rate. And we still believe that to be true, that's what we saw really in the fourth quarter and so business is coming and that's a combination of growth in transaction volume in US even though it's a little bit more muted than normal because of what's happening with same store sales. We are continuing to see some pricing benefit in the US fleet market. We are seeing growth in all of the other market that we think will continue. We had 8% transaction growth in Australia and 11% transaction growth in Brazil. So we are thinking you are going to continue to see transaction volume growth and plus just the continued benefit of the improvement as a portfolio as it happening in WEX Europe Services. And if you go into the other segment, we saw 15% revenue growth on the virtual business which includes our travel business, if you make it constant currency too, we are expecting to see similar type of trend as you go into 2016. The business in Brazil is performing really well on a constant currency basis but obviously it is getting impacted by what's happening with their local currency. And the healthcare business we had said that would be a high teen grower and that business has been growing at about that rate. It was actually faster than that in the fourth quarter. 
Steve Elder: Just to follow up on that Bob. The health and employee segment that we split out, there are several pieces in there. So Evolution 1 is definitely the biggest piece of it. But there is also a good portion of the business in Brazil and UNIK in there, so there is an FX impact that's going through there. And the prior year numbers also included a business that we divested rapid! PayCard. So when you strip out the FX and the rapid! PayCard impact, you are looking at something in the range of a 30% growth rate in that segment. 
Bob Napoli: That's for Evolution, that's without -- that's organic. 
Melissa Smith : Yes. 
Steve Elder: Yes. 
Melissa Smith : In Q4
Operator: And your next question will come from the line of Ramsey El Assal with Jefferies. 
Ramsey El Assal: Hi, guys. I was wondering if you could give a little more color on your same store sales metric. You mentioned it deteriorated a little bit. I think it was about 2.7% in each of the last two quarters, I think you said 3.7%. Can you give us little color there? Are you seeing any incremental verticals impacted? Are there still really kind of an energy related story? 
Melissa Smith : It's predominantly the big headline is what's happening in energy, that's down [38%] [ph] quarter-over-quarter. So that's certainly the most dramatic although that relatively small part of our portfolio. It's just because it's such a big number that's moving the total. We are also seeing the transportation down about 5%. But some of the areas you’d look at is kind of leading indicators that at least we thought about from an economic perspective and construction still up. And so the things that are more consumer facing seem to still be performing well. The things are either oil and gas related or kind of that's being affected by oil and gas, we are seeing more of an impact and that was more pronounced in the south west region as an example, was down almost 9% year-over-year in aggregate if you look at that region. 
Ramsey El Assal: Okay, thank you. On the EFS transaction there is no -- you had mentioned there is no update in your expectations around timing there. It's just working its way to the review process. I guess could you update us on that process and whether there any wrinkles to call out in the second request you got. And whether it's sort of from your perspective kind of business as usual but then also could you comment on any changes in your expectations of accretion from that deal given some potentially tougher financing environment that has evolved maybe since you announced. 
Melissa Smith : Yes. The transaction is making its way through what I would call a normal process and so we are responding to data request. The response from our customers has been positive and so we feel very good about the transaction. The business itself continues to win business in the market place and so from just an overall strategic perspective it's still firing on all their engines and we feel good about the business itself. And so this is really just a process and making through the regulatory approval. And in terms of - we excluded the transaction from guidance because if you start thinking about other things that affect it the timing is really up in the air. The financing market I would call volatile right now, we still have quite a bit of time before we will likely close the transaction. The timing of the synergies will play out depending again on when this actually comes together and so we felt like there were a number of moving parts here but we didn't want to start nailing or updating the guidance we had already given. And obviously the business got a little bit of negative impact for fuel prices because is about 15% of their revenue is impacted by fuel prices. 
Ramsey El Assal: Okay. Last one for me is on your standing up your tech platform in Europe. We see your costs come down at some point, will there be sort of drop off in investment in Europe and your effective accretion from that deal kind of come up at some point when that technology platform kind of get stood up or is it something where it is more of -- cost saver will be certain more on going in kind of gradually stabilize and recover? 
Steve Elder: Ramsey, I don't think you are going to see a big pop one particular day or quarter when the cost suddenly changes. Certainly getting the portfolio onto our platform is going to be a significant event and it will bring tremendous value and functionality to the European market place that isn't there today. And it will certainly be a cheaper platform than the outsource providers that we are currently using. But I'd also say that it will probably take some time to wind those cost out of the business. And just as important way is the operation behind it as well. Just how we are trying to shape that business and put into our own systems and processes. That the work behind the scenes on that will be just as important for platform side as well. So we are still expecting a very good year out of WEX Europe Services as we said they had a much better year than we believed, partially aided in the fourth quarter by those fuel spreads. But they are doing all the right things to run that business well. They are driving volumes in the market place, they are servicing their customers very well and we are taking all the right steps to reduce our cost base and shape that business the way we want to operate. 
Operator: Your next question will come from the line of Ashish Sabadra with Deutsche Bank
Ashish Sabadra: Hi. Just sort of quick follow up on the prior question around EFS acquisition. I think when you had announced the acquisition you talked about the combined or the pro forma leverage being around 4.4x. You highlighted that with the fuel prices that could be higher I was wondering if there is a way for us to think about where it could end up with the fuel prices the way they have been acting. And then second follow up to that would be just on the funding cost. Is there a way for us to think about the sensitivity to the funding cost? Back of the envelope seems to suggest that 100 basis points move in interest could have $0.20 impact on the EPS accretion. I was just wondering if that's on the right ballpark.
Steve Elder: So Ashish I would say a couple things. First on the leverage. Our forward guidance for 2016 is obviously down somewhat from the 2015 levels and sour EBITDA will come down as well. I think the actual leverage at the time of the transaction is going to depend heavily on that actually closes. And so that's the biggest wildcard that I am not sure we can predict. All else being equal if we were talking about an April 1 close like we were three months ago, leverage would be slightly higher but not tremendously higher because it's a backward looking metric in part as well. So it's going to be probably somewhat higher at the close but not significantly. In terms of the price I think as Melissa said the spreads on the type of debt we are looking at have been kind of volatile. We are BB rated institution and you kind of look at the BB index and see that how it move since we first announced in October. We do still have some time obviously before this deal will close and so we will be getting whatever the market rates right at the time which actually places the debt. And it also say that in this interim period of time while we are working to the process, we have committed financing in place which is what we've quoted to you last time last quarter. But we are also working to improve upon that through structure as best we can. And hopefully mitigate some of the impacts around the changes in the spread. 
Ashish Sabadra: Okay. That's very helpful. Thanks for that color. Just a quick one on the payment processing rate. You mentioned there was some benefit from the WEX Europe spread as well as lower fuel prices. How should we think about the payment processing rate in the fleet solutions going forward? Is that is 1.46 that much more normal going forward? 
Steve Elder: I think what you are going to see is relatively flat rate just kind of in general so every year we talk about a little bit of pressure from customers renewing and rebates and those kinds of things. But with declining fuel prices you are going to have a little bit of offset there. So it should be taking out the spread piece of that which was several million dollars. It should be relatively flat. 
Ashish Sabadra: Okay. That's helpful. And just quickly on the element renewal and follow up to your earlier comment around renewal. Is there any significant impact from element or as you said it will mostly be offset by a lower fuel prices. 
Melissa Smith : No. I would say that it was regular contract renewal process so we went through with them and we reflected that in guidance. 
Operator: Your next question will come from the line of Jim Schneider with Goldman Sachs
Jim Schneider: Good morning. Thanks for taking my question. I was wondering if you could maybe just address your assumptions regarding the travel business in 2016. Do you still expect to kind of maintain that mid teen growth rate in a constant currency basis or do you think that we are gong to see some softness there given what's happening in the overall travel volume situation? 
Melissa Smith : I would say so far we are still seeing in that mid teen's area and clearly we are paying attention to what's happening overall within the travel market. But we've had some really good contract signings. We are getting benefit of that as well as what happening with existing customer bases in that portfolio. Part of why we give a guidance range that just in case is the fluctuation in any of the businesses including that one. 
Jim Schneider: Thanks Melissa. And just a quick follow up on the earlier question related to same store sales. Any reason to believe that we've kind of seen the bottom there in terms of the incremental downtick from the same store sales basis. Do you think there is any evidence that you can point to that suggest that we are kind of at the bottom there or potentially recover and you think by the time you get into the end of the year that you are assuming in your guidance kind of flattening or slight improvement on those verticals? 
Melissa Smith : Yes. I would say in our guidance we assume that they are kind of similar trends that we've seen in the last couple of quarters relatively similar trends for the year. That's based on not having any better knowledge of what's driving this and it could obviously get either better or worse. But one thing I would say is some of the things that are getting impacted like the mining and fuel industry, it's becoming as much smaller, smaller part of the business in each quarter. As you are seeing some pretty significant movement and that in itself should help me some of the impact.
Operator: The next question will come from the line of Darrin Peller with Barclays. 
Darrin Peller: Hi. Look I just want to touch a little bit further on the expense management. You guys can have, I mean obviously in an environment like this which it is kind of tough to say how long these macro is last, what kind of room there could be for you guys further to cut if you need on the expense side and just maybe give a little more color on the incremental or detrimental margins across the businesses, a little more just so we understand maybe for every x% of revenue or either direction what could happen. 
Melissa Smith : So on our cost basis that we have been pretty rigorous throughout 2015 in particular and expect to be. 
Darrin Peller: Sure
Melissa Smith : And 2016 so obviously our cost base is largely fixed and so that's why we are trying to make sure that we are being careful on hiring. And if you look back over the hiring that we've done it has been pretty selective geared more towards sales and marketing type of heads. And so we are seeing some pretty good leverage across the business and you saw that actually throughout through if you start looking at the earnings impact to 2015 if you exclude the kind of the macro factors and we said 17% growth and that excluded the $0.30 that we had of prior year tax adjustment in 2014. And so there is clearly strong leverage in the business. And as we look into 2016, we continue those efforts throughout the going through very rigorous and contract renegotiations where we have leverage in the market place and so we are looking across the whole expense base to try to find as many levers as we can. And I would say our mentality going into this is you know while we have a view of likely improving fuel prices over time we are trying to make sure that we think of this as potentially the new norm and we want to make sure that we are adjusting the business to the extent possible accordingly. Yet at the same time we are seeing tremendous growth across the portfolio. And we are literally winning business across each of our segments and across each of the market that we are in. So trying to make sure they are also being balanced about continues to invest for things that are going to cause future benefits. And I don't know if Steve, do you want to comment any more. 
Steve Elder: No. I think the point around those the fuel business is better to really, really high incremental margin business and that's a great thing when it turns the other way against on the fuel pricing that's really a high incremental fees to just going the wrong way for us. So certainly in the fuel business you get very high incremental margin, it's little less so in the other two segments. But still a business with great profit margins overall. 
Operator: And your next question will come from the line of Sanjay Sakhrani with KBW.
Sanjay Sakhrani: I am here, hello. 
Steve Elder: Go ahead with your question Sanjay. 
Sanjay Sakhrani: Okay. You can hear me now. All right, sorry about that. I wanted to go back to question Bob had about the sensitivity to the fuel pricing and just at $0.11 to EPS versus the current $0.16. Am I understanding that right? Is there -- are there other stuff involves like spreads that you guys were talking about in Europe that are affecting that sensitivity relative to the past and as we look forward how old that sensitivity look to earnings? Thanks. 
Steve Elder : So Sanjay I think more recently we've been talking about $0.12 or $0.13 change in EPS for a $0.10 change in fuel prices and we are obviously we are updating that number now to $0.16 for this year. And that's in the US. The change or the increase is really just a couple of factors, it's volume growth that we are seeing from organic new sales which is very normal and it's also increases due to late fees that we've made in the last quarter as an example late fees were up 10% even though fuel prices were down 28% right. So it gives you an indication of a magnitude of the changes that we've made there. And I'd also say it's certainly not a perfect measure by any mean. It depends on interest rate, it depends loss rate, it depends on the spread as you mentioned in Europe. And so it can move around there can be some variability there but I think the important thing is that the fees that we are charging and what we are earning in the market place we are competitive and it's commensurate with the level of service that we are providing. 
Sanjay Sakhrani: And so when we look out to the subsequent year you guys talk about being hedged approximately 20% this year. So if all else is equal, do you still have on fuel price i.e. is there still a headwind as it relates to some the spreads and obviously the hedge? 
Steve Elder: So we are 20% hedged for the first quarter of 2016. 
Sanjay Sakhrani: Okay. I am sorry.
Steve Elder: After right so you can call it 5% on the year. So I think that's the first piece. The spreads can move around and they helped us as fuel prices were going down they offset a little bit weakness that we had in the US. And at some point fuel prices will go back up some day and it will probably turn around and hurt us a little bit there as they come back up. They can move it around a little bit. 
Sanjay Sakhrani: And then final question just on the EFS acquisition. I guess rough sense of timing I know you guys were thinking April 1 now you got a little bit more, questions being asked I mean is there an assumption that this probably won't close this year which is why you are taking out or you still hoping for sometime this year in terms of closing day. 
Melissa Smith : We expect April 1 as kind of just an arbitrary date we had to have date and I wouldn't say that's relative to what's happening to going through the process right now. And the real reason why we are not including anything at this point is just uncertain what the date will be where to large degree at the mercy of the SEC as you go through this process and so it's hard to imagine if not working through this year. And just based on the timeline what's typical. But we just don't know exactly what date that would be in this year. 
Operator: Your next question will come from the line of Daniel Hussain with Morgan Stanley 
Daniel Hussain: Hi. Thanks for taking the question. I was wondering if you could just talk a little bit more broadly about either the assumption you are using in your guidance or maybe your approach to providing guidance just given how much turbulence those been so maybe specifically whether you are baking in more conservatives this year than you may have in prior years. Thanks. 
Melissa Smith : I'll start and you might want to fill in here. I would say that we are trying to be consistent around that the pieces of things that we've talked about a little bit now is that we expect the business to continue to grow organically and we are presuming somewhere around a 10% organic growth rate and the midpoint of our guidance if you look at it from -- if you strip out the impact of fuel prices is about 10% growth. And so I would say that's pretty consistent with what we've been saying all along. In terms of impact to earnings, we really just -- when you strip out the impact of fuel prices we are seeing continued leverage of the organic growth of business and we think you are going to get continue leverage out of WEX Europe Services and so it's a little bit of each in there, they are included in our guidance that one of the negative that we had year-over-year was increase in credit losses that's really our best assumption based on what we know in the market place right now. And so I would say that we are trying to be as transparent as we can of the assumptions that we include guidance knowing that there are a number of moving parts right now in the market. 
Steve Elder: Danny I just add that I wouldn't -- I would characterize the guidance as conservative and I think we kind of look at all the moving pieces and there is lot of, certainly more to beginning of the year than they are at the end of the year. We are trying and take out best stab at, where those things are going to land and give you a reasonable range to work with. 
Daniel Hussain: Okay, I got it. And then just I want to clarify the earlier question on payment processing rate. So it sounds like there was benefit from the spread and just from lower fuel prices. So I guess looking back over the past few quarters you didn't see too much of a benefit from just a lower prices. So if you attributed all to the spread and I think it works out to maybe $6 million of benefit. I guess is that sound right and then in the first quarter you are expecting something similar or do you also have a tougher comp last year in the first quarter. Thanks. 
Steve Elder: So I think the spread was certainly the biggest factor in that number and we are up eight basis point sequentially. I think something like five or six of those basis points were due to the spreads. And you got a couple of basis points and then year-over-year you had a fairly significantly decline in fuel prices and even quarter-to-quarter it was fairly significant Q3 to Q4. So that definitely did help the rate. I think you probably just annualized some other signings that kind of made the rebate pressures from a comparative standpoint lessen. 
Operator: Your next question will come from the line of Tien tsin Huang with JPMorgan.
Tien tsin Huang: Hi. Thanks, good morning. Just on the credit loss side. I know the assumption is for to take a little bit higher just elaborate on what you are seeing in little bit more detail maybe even geographically because on China remember in some of the international regions where you have fully insured economics and underwriting risk. 
Steve Elder: So Tien tsin we do have economic risk I'd say across Europe, in Australia and to a lesser extent but certainly still there in Brazil. So we do have economic risk in most of the region we operate in. That said the vast majority of the losses are here in the US and they are basically small businesses that just stop paying their bills and we can't get hold of them, we can't find them. There was nothing in the quarter that would suggest anything is out of control, it was even though the delinquency rates trended a little bit higher for us in the fourth quarter, that's actually fairly typical and but it certainly did cause us to increase our reserve a little bit in the fourth quarter as well. When you dive into the delinquency a little bit there, as I said briefly at least there was no real industry or customer or geography or anything that we noticed that was really you could point just finger to and say that was the cause. It was fairly broad based and so we reflected that obviously in our reserve but also in our expectations going forward. 
Tien tsin Huang: Okay. Thanks for that Steve. And then just so WEX Europe I guess if you look out I mean is there a lot of cost opportunity there, I know I think Darrin asked you about which you can do to cut cost and you heard talk about evaluating cost as well. But is that more of WEX Europe comment or is it broader than that? 
Melissa Smith : I would say they are two different things so specific to WEX Europe Services that cost based there is evolving to expand we've been going through and ongoing effort in order to make sure that we were streamlining the cost base because we really just picked up what SO had in the transaction and so that's work in progress. The question early was specific to the platform, so I would say there is two pieces of it. One is just we are making sure that we are streamlining the business from just a business process perspective. And thinking about being in the right geography, it doesn't and all of that you would normally do. And then the second part of that is around the replatforming forming and so in each of those things are in progress and we expect both of them to have an impact over the margin over the longer term. So we said next year will be breakeven and that we intend to ultimately move out to similar margin to what we've see in the US on a private label basis. And so since they are all ongoing efforts and that some of them are shorter term and some of them will take a little bit of time. 
Operator: And your next question will come from the line of Tim Willi with Wells Fargo. 
Tim Willi: Thanks. Good morning. Just had two quick questions. First and actually both around the health and employee line. Can you just remind us of the timing of the rapid! PayCard divesture just as we sort of think about the sequential modeling event business and when that headwind from that divesture is removed from sort of the OpEx of the growth rate for that division? 
Steve Elder : Yes. It was January of last year that we sold the business so the fourth quarter is largely the last quarter and you will see any impact. 
Tim Willi : Okay. So we are good there then just going back to that division overall. So 30% organic growth in 4Q, as you think about that business through 2016 and probably what should be a very nice organic growth rate and probably out into 2017. Is it a division where we should expect to see margin expanding and hoping to drive the story or you are still going to be in a pretty heavy investment mode around that division where we are not necessarily going to see a lot of margin despite a pretty attractive top line? 
Melissa Smith : So that I would split out that the business in Brazil is scaling rapidly and so they are actually showing pretty good margin growth across that enterprise. So even though they are seeing significant revenue growth they have been able to show pretty significant scale. In the healthcare business, we are actually making sure that we are spending money and investing in that business with the balance and so we are looking at some margin improvement but not significant margin improvement over the next couple of years. 
Steve Elder: Tim, I just want to add one thing. We did have about six weeks worth of revenue from Benaissance in the fourth quarter and that help employee segment. So there was a little bit of activity in there and that was not quite organic in that 30% but it was pretty small in the overall scheme of thing 
Tim Willi: Okay. And then I just want to clarify something going back to the EFS and the debt, make sure I heard, understood some of your comments correctly. So you got the financing committed and I think couple of the questions around the clause you don't think it to be materially higher than when you announced deal. Did I understand that correct? I mean obviously it might be a little bit higher and there is a lot of moving pieces but did you say like not really significantly higher than your original assumptions? 
Steve Elder: I would say the first part is yes we have committed financing in place and so there is no -- there is really no question around the financing availability for us. The BB index which is where we are rated has moved. I'd call it more than a small amount since October. I think we still have a little bit time on our side to lock the numbers in and hopefully they can improve and we are spending some time to look at potentially better structures than what the committed financing has in place. So to the extent we can improve upon that. We still have all the commitment in place and again no worries about the availability of funds. But to the extent we can improve upon it, we are going to try and do that in the meantime. 
Tim Willi: So I guess I had asked I hated I just I think it's important issue right now for people I mean where are the debt markets are at or has been. Would it be material increase versus when you announced the deal and got about the price and the potential accretion or is it modest as you just sort of said if you look at last week or two of the market it wouldn't be that material versus when we announced a deal or what it would be? 
Steve Elder: So if you go back to October when we first announced the deal and put the committed finance again place, the BB index is moved somewhere around 1 to 1.5 percentage points higher in the quarter.
Operator: And at this time, I'll turn the conference call back over to Micky Thomas for closing remarks. 
Micky Thomas: Okay. That concludes our call. Thank you all for joining us. Good bye now. 